Operator: Welcome to the Korn/Ferry International conference call. At this time all participants are in a listen-only mode. Later we will conduct a question and answer session. As a reminder, this conference is being recorded. Before I turn the call over to your host, Mr. Gary D. Burnison, let me first read a cautionary statement to investors. Certain statements made in the presentation today will constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Although the company believes the expectations reflected in such forward-looking statements are based on reasonable assumptions, investors are cautioned not to place undue reliance on such statements. Actual results in future periods may differ materially from those currently expected or desired because of a number of risks and uncertainties which are beyond the company’s control. Additional information concerning such risks and uncertainties can be found in the company’s annual report for fiscal 2008. With that I’ll turn the call over to Mr. Burnison.
Gary D. Burnison: I’ll start off by saying that our Chief Financial Officer, Steve Giusto, is not on the call. He’s away attending to a family health matter. In his place I have two senior vice presidents with Korn/Ferry, Mark Neal and Gregg Kvochak, who are with me here in New York. First let me say particularly in light of the environment, I’m’ pleased with our company’s performance in the second quarter. Fee revenue of $189 million with EPS of $0.30 a share and an operating margin of 11.4% and our non-search business Futurestep and leadership and talent consulting now represent 25% of our revenue. The Korn/Ferry leadership’s job however is to look forward to anticipate, align, and navigate to build a multimillion dollar diversified HR solutions business. Therefore my comments this morning are going to be about the future. Unfortunately as you’re all aware, the world around our global clients and as a result ourselves has changed dramatically particularly over the last few weeks. A world which had prospered for several years based on access to cheap credit and massive consumption has been brought to its knees as the credit markets have all but disappeared and the reality of deleverage has hit the global economy. At this point it’s obvious, the theory of decoupling has proven inaccurate and no industry or geography is immune. The question at hand is: How will Korn/Ferry deal with this newest economy to not only survive but prosper during these difficult times and position themselves for growth? As I mentioned on previous calls, we began tapping the brakes well over a year ago and at that time began taking steps to hopefully stay ahead of the upcoming curve in the road. Very recently however it’s become clear that that curve will be steep and possibly longer. As a result we’ve taken some prudent measures here to swiftly rationalize the cost structure of our businesses in line with that environment. And I would say that we’ve done this and we’ve had to take these actions despite the fact that only a few weeks ago we were producing 50% more revenue with 20% fewer employees than at the last cycle. Unfortunately however we’re having to eliminate 15% of our global employee base, approximately 400 individuals. These decisions never come easy but it was in the best interest of all of our constituencies. Savings from these efforts are going to be about $50 million from associated salaries and benefits expense, and we’re targeting additional SG&A savings. Ultimately reducing your cost base is only going to get you so far. We are committed to running a profitable company but our strategy can’t be based on fear and retreat. It has to be based on innovation and opportunity. We’re navigating from a position of strength; $270 million of cash, no bank debt, a differentiated strategy, loyal clients and great colleagues. Volatility will create opportunity and a period of turbulence gives any organization a chance to break from ingrained approaches to client service. Korn/Ferry is not going to be a company that’s going to simply ride out the storm. I have reoriented the leadership team in three areas: Number one, to continue to institutionalize our go-to-market strategy to outperform the market; secondly, to create a more consultative solutions based workforce to drive integrated revenue growth; and third, to continue to refine our operating model to deliver profitable growth. We’re going to continue to develop differentiated solutions to help our clients create a stickier more effective workforce. We’re going to continue to improve value, consistency and quality through a program called the KF Way that drives standardization, quality and client excellence across all of our businesses. Our new information platform, Searcher Express, that we’re rolling out now that we started a year and a half ago in development is one great example of that. We’re going to continue to systematically drive broad global awareness for all of the solutions that the firm can offer. We’ve launched an initiative called the Client Advantage. This program’s going to expose our clients and prospects to talent management solutions for the challenges they’re facing right now. We’re going to continue to extend our brand through the Korn/Ferry Institute which has been designed to promote our ability to train and develop executives and distribute our proprietary thought leadership and research. Next week we’re going to formally launch the institute’s website, a move that’ll help us build awareness around all of the firm’s solutions. We’re going to scale our non-search businesses, Futurestep and leadership and talent consulting. During the quarter we took another step forward with our diversified offerings as we closed on the acquisition of LORE International. LORE is a leading provider of professional development solutions and while the benefits and opportunities that they LORE acquisition and investment hold for us are vast, it’s also going to have a transformational impact on our recruiting businesses. Over the past year as you know we’ve continued to streamline our recruitment process using as the foundation our 40 years of research and intellectual property on what makes executives successful, something that we’ve called the KF Advantage. Not only does the KF Advantage provide a consistent framework in approach to client service and search, but it’s also had a positive impact on client satisfaction scores. Now with the use of LORE’s on-boarding solution we can now round out the KF Advantage by providing our place candidates with a value-added overview of focus areas for immediate impact and long-term development. This on-boarding solution will also lead to helping our clients develop their organizations, their leadership teams and their executives. As you can see, we’re actively driving innovation and opportunity, proactively picking the line in the curve that we’re going to take. Despite the environment that’s around us, I’m more optimistic today than I’ve ever been about this firm. We’re better positioned to aid organizations and not just the identification of talent but in the deployment, development and maximization of talent. The good news for us is that we do have a differentiated strategy with a business model that gives us reasons to call on clients in any kind of economic environment. Entering the third quarter and the second half of our fiscal year, we’re going to continue to remain aggressive. We’re going to stay focused on our long-term destination. We’re going to institutionalize our go-to-market strategy to outperform the market. We’re going to create a more consultative solutions-based workforce to drive integrated revenue growth and we’re going to capitalize on our broad-based solutions that are unmatched in this market. With that, I’d now like to turn it over to Mark Neal to give an overview of the quarter and then he’ll pass it to Gregg Kvochak.
Mark Neal: I’m going to go through a few of the results overall and then I’ll hand it over to Greg. He’s going to walk through some of the segment results. Impacted by slower worldwide economic conditions and summer vacation seasonality, consolidated fiscal ’09 second quarter fee revenue fell $6.6 million or 3.3% versus the second quarter of fiscal ’08 and $16.4 million or 8% sequentially to $189.3 million. The slowdown was broad-based with all major Korn/Ferry divisions and regions contracting or decelerating on a year-over-year and sequential basis. Fiscal ’09 second quarter EPS was $0.30, down 19% or $0.07 versus the second quarter of fiscal ’08 and down $0.06 sequentially. Despite the drop in worldwide fee revenue, consolidated second quarter profitability remained strong with operating earnings and margin at $21.5 million and 11.4% respectively due in part to cost reduction and containment initiatives started at the end of fiscal ’08 and continued through the first half of fiscal ’09. In the second quarter of fiscal ’08 operating margin was 13% and was 11.5% in the first quarter of this year. At quarter end our worldwide cash balance was $278 million, down approximately $17 million sequentially due in part to the payment of remaining fiscal ’08 performance bonuses in some international locations and ongoing repurchases of company stock. For fiscal ’09 through the end of November the firm has now repurchased approximately 574,000 shares of common stock with total cash proceeds of approximately $7.4 million. There is now approximately $37 million of the $50 million of share repurchase funds authorized by the Board of Directors in October of 2007. Our goal remains to judiciously return cash to shareholders while maintaining adequate balance sheet strength to protect the company in difficult times and to allow us to address strategic opportunities should they arise. The number of executive search consultants at the end of the second quarter was 535, down two consultants from the first quarter. Second quarter annualized revenue per consultant was over $1.15 million and down approximately 8% year-over-year. Now I’ll turn it over to Greg and he’ll walk through some of the segment results.
Gregg Kvochak: Fiscal ’09 second quarter executive recruiting fee revenue was $160.2 million, down $8.9 million or 5% year-over-year and off $14.4 million or 8.2% sequentially. All executive recruiting regions were down versus the fiscal second quarter of ’08 as well as sequentially. In comparison to the other regions, North America fared best in the second quarter with fee revenue of $91.7 million, down $3.2 million or 3% year-over-year and down $2.2 million or 2.4% sequentially. Compared to the second quarter of fiscal ’08 the North America life sciences and industrial practices were the only practices to achieve growth, improving 15% and 6% respectively. On a sequential basis all North American specialty practices contracted in the fiscal second quarter with the exception of life sciences which grew 2% and consumer goods which grew 5%. The usual summer vacation seasonality and strong economic headwinds combined to drive weaker results in Europe in the second quarter. Europe fee revenue was $40.5 million and fell $1.6 million or 3.7% versus the second quarter of fiscal ’08. On a sequential basis Europe’s second quarter fee revenue fell over $11 million or 21.5%. Year-over-year 12 of 20 local country markets contracted with all major specialty practices falling except the industrial practice which grew 21%. On a sequential basis 17 of 20 local markets contracted in the second quarter with all major specialty markets off as well. In the Asia Pacific region fiscal ’09 second quarter fee revenue was relatively flat sequentially at $21.2 million but down $3.5 million or 14% versus the second quarter of fiscal ’08. Sequentially growth in Hong Kong and Japan was offset by lower fee revenue in all other markets and on a specialty practice basis growth in the consumer goods and life sciences was offset by weaker results in all other practices. Year-over-year lower fee revenue in Australia off 42%, China off 30% and India off 31% was offset by modest growth in all other local country markets. All Asia Pacific specialty practices were down year-over-year in the second quarter with the exception of the industrial practice which was up 8%. In Latin America fiscal ’09 second quarter fee revenue was down $700,000 or 9% year-over-year and $750,000 or 10% sequentially. Sequentially fee revenue was down in every local country market except Argentina. Consolidated fiscal ’09 second quarter executive search operating earnings were $26.6 million, down $6.4 million or 19% year-over-year and down $5.1 million or 16% sequentially. Consolidated executive search operating margin was 16.6% in the quarter and down 290 basis points year-over-year and only 150 basis points sequentially. Cost reduction initiatives implemented at the end of fiscal ’08 and continued through the first half of fiscal ’09 were key factors driving relatively stable profitability on lower overall fee revenue. Now turning to Futurestep. Futurestep’s fiscal ’09 second quarter fee revenue was $29.1 million, an improvement of over $2.3 million or 9% versus the second quarter of fiscal ’08 and down $2.1 million or 7% sequentially. Year-over-year growth in North America, up 23%, and Asia Pacific, up 17%, was offset by slower results in Europe which was down 14%. Sequentially second quarter fee revenue was up 6% in North America, flat in Asia Pacific and down 24% in Europe in part due to summer vacation seasonality. Futurestep’s fiscal ’09 second quarter operating earnings and margin were $1.2 million and 4.2% respectively. Futurestep’s fiscal ’09 second quarter operating profitability was negatively impacted by approximately $300,000 of severance pay. Let me now comment on our fiscal ’09 third quarter outlook. We have completed the first month of the third quarter and new business confirmations have been weak due to increasingly strong economic headwinds and usual year-end holiday seasonality. We are not assuming that these challenging market conditions will ease through our fiscal third quarter that ends in January of ’09. As Gary stated, in anticipation of a weaker market ahead we have begun to take further more significant actions to reduce our ongoing cost base by reducing our workforce by approximately 15% while continuing to trim G&A spend. The affect of these cost saving actions will have a material impact on our firm’s cost base for the second half of fiscal ’09. Assuming that December new business confirmations are in line with November and that January new business confirmations are modestly improved, we estimate that third quarter fee revenue will likely range from $140 million to $160 million and diluted earnings per share net of quarter three severance charges will likely range from a loss of $0.10 per share to break-even. Under these same assumptions and excluding the impact of severance charges, third quarter EPS will likely range from $0.08 to $0.18. However due to the current extraordinary economic conditions, our ability to predict new business is more difficult than normal. If December and January confirmations continue to deteriorate, then our results may be below the low end of our guidance. That concludes our prepared remarks. We’ll now take your questions.
Operator: (Operator Instructions) Our first question comes from Kevin McVeigh - Credit Suisse.
Kevin McVeigh - Credit Suisse: When you talk about the restructuring charge of $11 million to $15 million, what type of run rate does that assume in the business going forward? To say that another way, as you’re rationaling down the cost structure, what are you positioning the company for in terms of revenue?
Gary D. Burnison: The first thing is you don’t want this to be a self-fulfilling prophecy. Our focus has to be on the future and taking share and building the company, not cutting your way out of this. But I’ll tell you, it is a rapidly changing environment. In terms of these actions that we had on the drawing board for quite some time in the event that the situation would turn the way it has, our thinking was to make those cuts with an anticipation that you’ve got a business that’s running in the high $600s or so.
Kevin McVeigh - Credit Suisse: In terms of the $50 million, as those cost savings come on line is it $50 million in the second half of the year or is that $50 million annualized? How should we model that?
Gary D. Burnison: It’s $50 million annualized and part of that will happen over the next several months. Greg can give you the details on how that calenderizes.
Gregg Kvochak: There will be a partial affect of that in the third quarter but full affect of those cost savings again annualized would take effect basically in the fourth quarter of the year.
Kevin McVeigh - Credit Suisse: Drawing on past downturn the runoff in the revenue, how does this compare to the dot com and the current market conditions if we were to try to think about drawing parallels to times in the past?
Gary D. Burnison: In Korn/Ferry’s history prior to this there’s been five recessionary periods. In four of them the business was down about 8% or 9% and then rebounded 20+%. The last recession the business absolutely fell off and plummeted 60% or so over the course of several months. Over the last really four or five weeks, and I’m sure you see this, businesses have just stopped. They have curtailed spending and very much had an inward focus. The question really to me is the credit markets. When are those going to thaw? I think when those begin to thaw, this fear and retreat that we’re in right now will subside.
Operator: Our next question comes from Andrew Fones - UBS.
Andrew Fones - UBS: First I wanted to ask what proportion you said would be a partial impact of the cost-cutting in Q3? Do you have any estimate of the cost savings you might see in the third quarter?
Gregg Kvochak: On a quarterly basis we would assume that roughly about 2/3 of the expense cuts would hit in the fiscal third quarter and then the full effect in the fiscal fourth quarter.
Andrew Fones - UBS: In terms of the headcount reduction, could you put in context the headcount that’s coming from LORE and is this 400 a growth or a net cut?
Gregg Kvochak: The headcount that we will add related to the LORE acquisition will be about 75 heads. Prior to the LORE acquisition our employee base was about 2,700 employees. That will of course go down to roughly 2,300 and then we’ll add the 75 employees from LORE.
Andrew Fones - UBS: You mentioned some SG&A measures as well. I was wondering if you could talk about cost saving initiatives within SG&A.
Gary D. Burnison: We began those many, many months ago and as I said we started tapping the brakes well over a year ago. Unfortunately the severity and speed of what we’ve seen in the last few weeks you could say has been unmatched since the 1930s. But the percent of revenue in terms of G&A if you look over the last 12 quarters, you’ll see that our G&A percentage has ranged anywhere from 16.8% to 19.5%. We’re trying to target something that looks more like 18% as a percent of revenue.
Andrew Fones - UBS: Can you give us the bonus accrual in the second quarter and also the number of shares repurchased?
Gary D. Burnison: The bonus expense for the second quarter was about $35.5 million or so and in terms of the shares repurchased, I’ll ask Greg.
Gregg Kvochak: The shares repurchased in the second quarter were about 410,000 shares for total proceeds of about $5.3 million. As we said in the script, year-to-date we’re basically 575,000 shares repurchased for about $7.4 million.
Andrew Fones - UBS: Were most of those 410,000 towards the end of the quarter?
Gregg Kvochak: Yes.
Operator: Our next question comes from Tobey Sommer - SunTrust Robinson Humphrey.
Tobey Sommer - SunTrust Robinson Humphrey: Just a follow-up question on the cuts to the expense line item. How do you look at your expenses from a variable versus fixed perspective and how might these cuts change the proportion that you look at when you look at your expenses variable versus fixed?
Gary D. Burnison: I’ll comment broadly and then if I don’t answer your question, ask it again and maybe Greg can give you some more detail. We have a performance based company throughout the three businesses that we have. To give you some idea it wasn’t that long ago, I’ve been here now seven years, that our bonus accrual was $30 million several years ago and now we’ve tripled the business and the bonus accrual last year was $160 million. That gives you some idea in terms of the lever that we have. It’s a fairly significant part of the operating structure. It is a performance based company that we have here.
Gregg Kvochak: The only thing we would add again is you’re familiar enough with our cost structure to know that we do have some elements that are variable; bad debt expense to some of our engagement and [BD] expenses would be variable with revenue. So again those would flex down in proportion to the revenue. Does that answer your question?
Tobey Sommer - SunTrust Robinson Humphrey: It does. Is there a material change in terms of the proportion of fixed to variable subsequent to the job cuts or does the composition stay similar?
Gregg Kvochak: Yes.
Gary D. Burnison: But as obviously the profitability of the firm looks different, the bonus is going to be reduced.
Tobey Sommer - SunTrust Robinson Humphrey: On the 400 or so of people that you are letting go, what proportion of them may be consultants?
Gary D. Burnison: If you look at it, it’s in the neighborhood of 40 or 50, something like that.
Tobey Sommer - SunTrust Robinson Humphrey: The cash balance, I can see what that is on the balance sheet but what may be the spendable cash number that you could easily access without significant tax implications and all that kind of stuff?
Gregg Kvochak: Investable cash plus working capital is somewhere in the neighborhood of $130 million to $140 million at the end of the quarter. All of that cash we would as accessible. We’re still continuing our dividend repatriation program that we’ve talked about and it’s still our goal to move a lot of the cash we have overseas particularly in Europe and Asia back to the corporate headquarters.
Tobey Sommer - SunTrust Robinson Humphrey: A question about demand and the way it’s falling off. Is it that multinationals are not creating new positions and is there some kind of multiplier effect where if the new product manager isn’t established in Shanghai, then the person who was going to take that job doesn’t need to leave their job and create a vacancy and kind of the ripple effect that those growth positions create or is it simply not replacement and performance based changes that you’re seeing?
Gary D. Burnison: In the last four weeks I’ve been in Mumbai, Delhi, Tokyo, New York twice. You can go to your local grocery store; you can go to your local car dealer. The reality is that this great consuming society is just doing a lot less consuming and what I’ve seen in talking to clients and looking at businesses and quite frankly friends is that you’ve got people that are hunkered down. They’re just not spending money. You’ve got companies now that have curtailed spending, have curtailed cap ex, have indiscriminately started to let go of staff, you’ve got that vicious cycle right now. It’s really across the board.
Operator: Our next question comes from Michel Morin - Merrill Lynch.
Michel Morin - Merrill Lynch: Sorry to hammer away on the cost savings here but I just wanted to make sure, is the number that you talked about, the $11 million to $15 million, is that all cash and is it all pretty much severance? Are you looking at possible office closures as maybe a part of your broader G&A cost cutting?
Gary D. Burnison: I think the number that we’ve given you now, the $11 million to $15 million, is almost all severance, will be cash based and what we’ve done right now does not look at or hasn’t contemplated any office closures in this current round of what we’ve done.
Michel Morin - Merrill Lynch: The 40 to 50 consultants, is that across all the regions? Is there one region that’s taking a bigger hit than others?
Gary D. Burnison: It’s across the board.
Michel Morin - Merrill Lynch: Would you mind commenting on the November confirmations in particular? How much are those down? And then I think in your prepared remarks you said that in your outlook you will assume that December would be relatively similar to November and that January would be up from that. Is that the typical seasonal pattern or should we normally anticipate that December would be weak relative to November just because of the holidays?
Gregg Kvochak: Our assumptions at mid-range of guidance would be that December is very similar to November and that there is a modest improvement in January but not up to the level of October which October we would consider a weak month of confirmations. We’re not assuming a dramatic bounce back.
Michel Morin - Merrill Lynch: Is that a typical seasonal pattern?
Gregg Kvochak: Yes. That would be a typical seasonal pattern.
Michel Morin - Merrill Lynch: And then November, how far are you down year-on-year?
Gregg Kvochak: Year-on-year it’s pretty drastic. You’re in the 40% to 45% range.
Michel Morin - Merrill Lynch: On the corporate expense line, you’re down to just over $6 million this quarter which is a very low number. Was there anything unusual there this quarter that allowed you to take the number down so much and is that a level that is sustainable?
Gary D. Burnison: I think as far as is that sustainable, we wouldn’t expect next quarter that we would be at that level. Within that corporate line there are some amounts of the annual bonuses that we provide to people that have a market or performance based element to them. And given the conditions in the market and the performance, we saw a decline in this quarter that is a bit unusual but we wouldn’t see that repeating.
Michel Morin - Merrill Lynch: Looking at the regional trends, Asia and Lat Am are the weakest in terms of year-on-year declines. Is that surprising to you given that the epicenter of the crisis has been in North America and that seems to be the place where you’ve held up a little bit better actually? How should we think about that?
Gary D. Burnison: I think over the last five weeks you have to think of the world differently and it’s certainly reflective in my travels. We live in an interdependent world and from Iowa to Iceland to Spain to Shanghai the world is indeed flat. Consumer spending in the United States is three times the Chinese economy. I’m not necessarily surprised but I will tell you over the last few weeks that the speed and severity of companies really looking inward has been dramatic. I’m sure you see that.
Mark Neal: Another comment is those are the two regions that have the lowest base and in these times where there are these types of declines percentage wise off the low base you see a little bigger effect.
Gregg Kvochak: As it relates to the Asia Pacific region, sequentially there was a pretty dramatic decline in financial services as you might expect. It’s held up fairly well for us in that region till now and you’re really starting to see the effect of the deteriorating financial services market there.
Michel Morin - Merrill Lynch: How significant is financial services now as a percentage of total? It used to be around 20%. Has it declined more noticeably now?
Gregg Kvochak: It’s about 18.5% of our total.
Gary D. Burnison: Remember, it’s never been an overwhelming percentage of our business. Several quarters ago, I don’t know if you recall, but it’s about 21% to 22%.
Operator: Our next question comes from Mark Marcon - Robert W. Baird & Co., Inc.
Mark Marcon - Robert W. Baird & Co., Inc.: With regards to the comments on the financial services side and Asia Pac, what do you see outside of financial services in markets like China and India?
Gary D. Burnison: Are you speaking from a geographic perspective or an industry perspective?
Mark Marcon - Robert W. Baird & Co., Inc.: Within the geographies of China and India, what are you seeing outside of financial services in terms of demand? Has everybody shut down just because they’re frozen? Obviously financial services is in significant contraction from a secular perspective because of the deleveraging that we’re going through. I’m wondering, outside of financial services is it more of a sense of shock and we just can’t make decisions now (I’m talking about your clients) and we just can’t make any decisions so we’re going to hold off on everything until things clarify or are you getting the sense from some of your clients that things are materially different and will continue to be different for some protracted period of time until the credit situation normalizes?
Gary D. Burnison: I would say that it is fairly broad based and even in emerging markets like the Middle East, in Dubai I was with our leader of Dubai yesterday. Whether it is Shanghai and Beijing or Mumbai and Delhi, it is fairly broad based and there’s obviously some positive news in terms of education and life sciences and health care. The double whammy that’s a little bit hard to predict is that you’ve got the holiday period around the world. So from call it the middle of November through the end of December it is hard to get a read on what our clients are really doing. I will tell you that we have a lot of activity, a lot of proposal activity, and it’s very hard to determine even though our workforce is extremely positive and hopeful about the level of new business in January, it’s hard to determine what is going to happen in January. Clearly there’s a seasonal piece of this but it’s much more profound than just that.
Mark Marcon - Robert W. Baird & Co., Inc.: I just want to make sure I understand it correctly. In terms of the guidance and specifically with the assumption that December’s going to be equal to November, when you read the headlines and then take into account the way the holidays fall this year which would seem to lend itself more towards companies basically shutting down for the last couple of weeks, why would December be equal to November? I don’t know why it wouldn’t go down.
Gary D. Burnison: It’s a possibility. We do have an awful lot of activity and we are again focused on the future and building the company and the solutions, and there are some things that are out of our control. The best that we can do is operate this business in the short term and also build the company for the long term, and we can tell you what our guidance is based on. To the extent that you are correct that December is less than November and that January is at the same level of November or December, then we’re going to be below guidance.
Mark Marcon - Robert W. Baird & Co., Inc.: Hopefully people will feel a little bit better by January but I don’t know about December. With regards to the cost savings that you are assuming, can you talk a little bit about that savings amount, that $50 million? Was that assuming that the consultants were producing at what their normal annualized level would be and therefore that they were drawing a bonus that would be consistent with that?
Gary D. Burnison: No. The people that we have unfortunately canceled out which is the worst thing you have to do in business were not really contributing to overhead. So in terms of bonus eligibility it certainly wasn’t material.
Mark Marcon - Robert W. Baird & Co., Inc.: So it’s a real $50 million of savings relative to what we’ve seen in the past. It’s not some theoretical number.
Gary D. Burnison: We don’t run the business on theory. No.
Mark Marcon - Robert W. Baird & Co., Inc.: I’m glad you guys do it that way. Some people don’t. Then can you talk a little bit about as things unfold and you mentioned kind of a high $660s or high $600 number, that level given the savings that you’ve put in place, how are you thinking about margins and profitability for the company in this new environment where credit becomes less available than it was over the last seven years?
Gary D. Burnison: Two pieces to that. Number one is we have said consistently six years ago, seven years ago, five years ago that our goal was to operate this business in any kind of economic climate with mid-single digit operating margins and that is our goal. Unfortunately what we’ve seen over the last few weeks is pretty draconian and net new borrowings in the US in either companies or households have decreased by 2/3, by $1.4 trillion over the last year. If that trend continues, if you have $2 trillion to $4 trillion of contraction over the next two years, you’re looking at 300 to 700 bips off trend GDP. If that’s the case, then you’re obviously going to have an environment that is quite different than one that you could ordinarily imagine in a downturn. But that’s what we’ve said and hopefully to our investors, to our employees that we do what we say and I’ll leave it at that.
Mark Marcon - Robert W. Baird & Co., Inc.: Gary, you’ve been ahead of the curve on this so I appreciate that. Greg, I was just wondering, can you give us what the fx exposure was by region?
Gregg Kvochak: Sure. This relates to the revenue, on a year-over-year basis it would be in consolidation -$1.3 million impact and that would be roughly $700,000 in North America related to the Canadian dollar, $200,000 in Europe, $700,000 in Asia Pac and then a slight plus up in Latin America to net $1.3 million.
Operator: Our last question comes from Andrew Fones - UBS.
Andrew Fones - UBS: I just wanted to follow up on the comment you made about the November confirmations. Could you put that in some context in terms of what the trending confirmations has been over recent months? Obviously that’s down 40% to 45% is pointing to something significantly below where you’ve guided to and I understand Q3 will benefit from some of the sales you had during the second quarter but I’m just trying to understand what the recent trends been?
Gary D. Burnison: Look at all the indicators from non-farm payroll to CEO confidence to the monster index. Just look across the board and clearly there’s a trend that says over the last few weeks something has happened in the business world that’s been quite dramatic. I think that the confirmation levels are unfortunately consistent. But if you go back, I’ll pick say a little bit less than 50% of our business, take North America. You look at September ’08 new business compared to September ’07 was probably down, I’m going off the top of my head so Greg can give you exact numbers, but about 13% or so. October I bet was 18% or 19% off the prior year while then November and December we could be looking at 40% off the prior year.
Operator: I’ll turn it back to you Mr. Burnison.
Gary D. Burnison: Thank you very much. It’s certainly been an honor and it is an honor to lead this company and to come to our shareholders with generally great news over the last several years as we’ve built this company. And we’re going to continue to do so. Whatever we’re facing, everybody else is facing. What our focus right now is not to be caught up in fear and retreat but rather look for innovation and opportunity. I have 200% confidence in our colleagues around the world. So for us it’s not just a question of weathering the storm, it’s a question of picking the line in the curve and we will come through this stronger, more agile and closer to our clients. We are going to build a multibillion dollar diversified HR solutions business. With that I would like to thank all of our clients, our colleagues who are listening to this call and to our shareholders for your continued support of this great firm. With that I wish you all a very happy and safe holiday and most importantly I wish all of us a prosperous and growth filled 2009. Thank you very much.
Operator: Ladies and Gentlemen this conference call will be available for replay for one week starting today at 11:00 a.m. Eastern Time and running through the day December 17 at midnight. You may access the AT&T executive playback service by dialing 800-475-6701 and entering the access code of 973143. International participants may dial 320-365-3844. Additionally, the replay will be available for playback at the company’s website at www.kornferry.com in the Investor Relations section. That does conclude our conference for today. Thank you for your participation and for using AT&T executive conferencing.